Operator: Good morning and good afternoon, ladies and gentlemen, and welcome to AIXTRON's Full Year and Fourth Quarter 2019 Results Conference Call. Please note that today's call's being recorded. Let me now hand the floor over to Mr. Guido Pickert, Vice President of IR and Corporate Communications at AIXTRON for opening remarks and introductions.
Guido Pickert: Thank you, operator. Let me start by welcoming you all to AIXTRON's presentation of our full year and Q4 2019 results. I'd like to welcome our Executive Board represented by Dr. Felix Grawert and Dr. Bernd Schulte; as well as our VP of Finance and Administration, Charles Russell. As the operator indicated, this call is being recorded by AIXTRON and is considered copyright material. As such, it cannot be recorded or rebroadcasted without permission. The participation in this call implies your consent to this recording. As with previous results conference calls, I trust that all participants have our results presentation slide deck page 2 of which contains the usual Safe Harbor statement. I would like to point out that this applies throughout the conference call. You may also wish to have a look at our latest IR market presentation with additional information on AIXTRON's markets and technologies also available on our website. This call is not being immediately presented via webcast or any other medium. However, we will place an audio file of the recording or the transcript on our website at some point after the call. I would now like to hand you over to Bernd Schulte for opening remarks. Bernd?
Bernd Schulte: Many thanks Guido, and a warm welcome to our 2019 results presentation. Let me start by giving you an overview of the key developments in last year. In Q4 2019 orders came in at €81 million, which is more than 50% above the same figure in Q3 2019. Revenues in Q4 of 2019 was €75 million, which was more than 40% higher than Q3 2019. This is to emphasize that we have seen a continuing improvement of the business after the challenging second quarter last year caused by the geopolitical environment. In fiscal year 2019, we hit our full year guidance with an order intake of €232 million and revenues of €260 million. Gross margin was at 42% and EBIT margin at 15%. Free cash flow was higher than guided, due to the substantially higher cash inflows towards the very end of the year. We are progressing well with our next-generation product initiatives. These programs encompass all of our MOCVD products to be renewed during 2020 and 2021. Our target is to strengthen our leadership position in compact business. We will be offering improved cost of ownership for our customers to enable them to better address their targeted end markets. Our offerings will include improved material efficiency lower maintenance requirements and full automation just to name a few of the new features. Our new silicon carbide tool, which we already launched in 2019 is doing good progress at our customers. Let me quickly give you an update of the potential impact of the spread of the COVID-19 disease. We believe that we have not yet seen the maximum extent of infections worldwide, so we will have to remain very cautious, especially when it comes to traveling into affected regions. We have implemented strict travel policies for our employees and we will monitor the development in order to protect our employees' health. So far the impact to our business has been quite limited. However, at this point in time it is difficult to judge how this might develop as the regional situations in Asia and Europe are changing on a daily basis. At this point, let me now hand you over to Charles for a more detailed overview on the full year 2019 numbers. Charles?
Charles Russell: Thanks, Bernd, and hello to everyone. Starting on slide 4, our income statement. Total revenue for the year was €260 million compared with €269 million in 2018. Gross margin was 42% in 2019 against 44% in 2018. We shipped the same number of systems in each year and the cost of sales is flat year-on-year at €151 million. The lower sales and margin is mainly attributable to the different sales mix with more sales into the display market in the first part of 2019, partly offset by a favorable dollar exchange rate. Overall operating expense in the year fell from €76 million in 2018 to €70 million in 2019. SG&A expense fell by €2 million to €16.5 million in 2019. This is mainly the result of lower project-related costs and lower variable pay. R&D expense of €55 million was €3 million higher than 2018. Product development for MOCVD systems, including power electronics and microLED and mini LED increased significantly over 2018. Related to the phasing of the development work spending on the other development was substantially less than in 2018. Other operating income of €12 million in 2019 compared to €4 million in 2018 was mainly R&D grant income of €8 million, currency gains and contract settlements. We generated an EBIT of €39 million for the year compared with €41.5 million in 2018. The effective tax rate was just over 18% in 2019. In 2018, taxes of credits from the recognition of deferred tax assets. The net profit for 2019 was €33 million compared to €46 million in 2018. Turning to the balance sheet on the next slide. Inventories of €79 million, includes around €5 million of prototype systems. We had very good cash collections in December bringing receivables down to 30 days sales outstanding at the end of the year. This is six days better than at the end of 2018. Advanced payments received from customers of €51 million was similar to the end of 2018, but increased by €7 million in the quarter, reflecting the good order intake. Advanced payments are 44% of the order backlog. Because of the lower receivables and increased customer advanced payments our cash balance increased to €298 million at the end of the year. Moving to slide 6, which shows our cash flow statement. Here, you can see the improved operating cash flow in 2019 of €43 million compared with €12 million in 2018. The relative improvement of €31 million is because 2018 cash flows included both €12 million of open payments related to the sale of ALD/CVD in 2017, as well as increases in inventories receivables. And with that, let me hand you over to, Felix.
Felix Grawert: Thank you, Charles. I would like to give you some perspective, on our development projects before concluding with the outlook, for the rest of the year. Turning to the update of our development project on slide 7, in silicon carbide, we continue to gain more traction, with our new fully automated high-throughput system. We have obtained multiple orders, for this platform from customers, and are making performance demonstrations, to additional customers. In gallium nitride power electronics, we continue to receive orders from customers, addressing the trend towards more efficient power management devices, in consumer electronics and IT infrastructure. Continued momentum in the area of gallium nitride RF, is driven by the 5G buildup. In optoelectronics there is an ongoing momentum for the demand for lasers use and optical data communication. We observed, increased customer interest for laser and 3D sensing, both for the display side of the smartphone, the so-called face side, as well as for 3D sensing on the backside, the so-called rear side. In the area of mini and microLED, we see progress towards the commercialization of LED displays, those in either very large ones for TV or very small displays for wearables. At the Consumer Electronics Show 2020 in Las Vegas, our customers showed very large and brilliant microLED displays, defining a new ultra-high-end, home entertainment segment. These very expensive displays are already being sold in low quantity. In our perspective, the transformation of the industry from pure R&D to the manufacturing feasibility mode is happening as we speak, resulting in demand for some mini and microLED, production tools. With regards to OLED, our Gen2 tool is jointly being operated by a team of engineers of our customers and our subsidiary APEVA. Together, they are optimizing OLED, produced with our OVPD technology as well as better position tools. As this procedure is still ongoing, we expect our customers to give us follow-on commitment for a larger tool, at a later point. Despite the high complexity of this project, the interest of our customer in OVPD technology, as an alternative to BTE, remains unchanged. We continue to follow our neutral target of OLED, mass production qualification. Let me now come to the outlook for 2020, on slide 8. We expect order levels in 2020 to increase year-on-year to a range between €260 million and €300 million. This expectation is based on healthy level of customer inquiries. And broad customer interest in our technology offerings, across all applications. We expect, revenues for 2020 in the range, between €260 million and €300 million, starting with a backlog, of €117 million, at the beginning of the year. We expect our gross margin to be around 40%, which leads to an EBIT expectation of between 10% and 15%. Important to note, is that, both orders and order backlog, as well as all of other guided figures are based on our budget exchange rate, of US$1.20 per euro. Revenue and profit margins will then be reported, based on actual exchange rates, in the quarter to come. Please also note, that this estimate, fully include the results of APEVA, from the top to bottom-line. Another important point to mention is that, as Bernd explained before, we are not yet in a position to quantify the effect of the coronavirus, spreading further. Therefore, we have made our guidance based on the assumption that the, current COVID-19 outbreak will not have a significant impact, on our business. Our focus in 2020 and 2021 is the complete renewal of our product portfolio. We have excellent technology already today. And our new product will support our customer to further enhance productivity. And address high-volume markets, more efficiently. Finally, I would like to mention, that the AIXTRON Supervisory Board and I agreed to renew my contract, until 2025. I'm happy to be with AIXTRON, in the next years. With that, I will pass, back to Guido, before we take questions.
Guido Pickert: Thank you very much, Felix, Charles, Bernd. Operator, we will now take questions, please.
Question-and:
Operator: Yes. Thank you. [Operator Instructions] And the first question comes from Andrew Gardiner, Barclays. Please go ahead with your question.
Andrew Gardiner: Good afternoon, gentlemen. Thanks for taking my question. Two if I could. One, on the COVID-19 situation, just can you give us any indication as to, whether you've had sort of pushback in terms of deliveries, from any of your customers? Are you seeing any change yet in terms of their -- either their ability to take tools depending on where they're located or their appetite? Just sort of any change on the margin there? And also on the guidance for 2020, Felix, you just sort of highlighted that again, it's based on $1.20 budget rate. I'm just wondering, why AIXTRON continue to use such a conservative rate. We haven't seen the exchange rate, at that level for two years. And it seems to make your guidance overly conservative, when we look at it in euro terms, relative to what the underlying is. So why are you sticking with that, one not a more realistic rate? Thank you.
Bernd Schulte: Andrew, this is, Bernd. Thank you for your question. Well, basically on the, corona situation, I can tell you that, we're not seeing anything like cancellations or something like that. It is mainly to do currently with the logistics, meaning that, customers particularly in China, they have basically not worked. They have extended holidays, during February time. And they're causing certainly that, we cannot execute installations and bringing our tools to operations. Certainly, we can expect that some new facilities in the course of the year, which are currently, built get some delay. But so far, we do not expect this to create an issue for the entire course of the year. So this is maybe in between quarters. But so far we do not expect this really affecting the entire year.
Felix Grawert: Good. And let me come to your second question, which was why we based our guidance at $1.20 rate rather than I think today we are just below $1.10. The reason is very simple. We see a lot of analyst estimates which put the dollar actually even higher than $1.20 somewhere in the range between $1.20 and $1.30. In the end nobody really knows where it could develop and how it goes. But I think you all out there know that we have about somewhere between 50% and 70% of our revenues based on U.S. dollars. I think everybody can make a very simple calculation spreadsheet the adjustment to whatever you believe is the – whatever your assumptions for the exchange rate is for the year.
Bernd Schulte: Yes. Also Andrew, I mean, it is always difficult to exactly forecast what the dollar is going to be. At least staying consistently at one rate and it's just $1.20 historically, at least give us the advantage that makes it comparable year-on-year.
Andrew Gardiner: Okay, fine. Just perhaps sort of related question is can you give us a sense as to how you expect the product mix to phase through the year? Last year in the first half we had a lot of LED in the first half which kept margins down. And then mix improved as we came through the year. Can you give us any sense as to how you're currently thinking about it for 2020?
Bernd Schulte: What we're currently seeing is that in the first half we're going to see definitely more impact by systems from datacom, telecom and power electronics. And we might see some bounce-back from systems for LED applications in the latter half in terms of revenue and therefore margin impact.
Andrew Gardiner: Okay. Thank you, guys
Operator: The next question comes from Uwe Schupp, Deutsche Bank. Please go ahead with your question.
Uwe Schupp: Yes, good afternoon, gentlemen. Two questions for me please. Firstly, you mentioned the stronger-than-expected cash flow obviously in Q4. But I remember that you actually guided this figure down in November. Hence I would be interested if yes, very simply the business turned out stronger than expected in Q4 with higher prepayments? Or what was really working against your base assumptions when you took down the cash flow guidance in November? And then secondly on the guidance, should we understand this pretty much like last year i.e., the high end basically includes a certain amount of OLED revenue while the low end basically includes zero revenue? Or what is the math behind? Thank you.
Charles Russell: Okay. On the cash flow guidance what improved was the receivables were a lot lower. So there's 30-day sales outstanding and that's accounted for about half of the increase in the cash flow between the guidance and what it actually turned out to be. And you're right, the other part of it is that the order intake and the percentage of advanced payments that we received is higher than we expected.
Bernd Schulte: So Mr. Schupp, let me answer on the guidance. I think the range is a result of certain assumptions and efficient scenarios. So it's unfortunately not so straightforward to say that upper case does included or don’t. It is basically a good judgment of the various scenarios we have looked into. And this is – it is not a linear formula let me say.
Uwe Schupp: Thanks, Bernd and if I could just follow-up on the guidance. And basically the OLED impact that you have calculated there, meaning how much if anything weighted revenue have you in there? I don't expect a number realistically. But maybe more on the R&D side really how much R&D burden that you book into that margin guidance of – basically should we assume that OLED will have a full €20 million or €25 million R&D burden for the full year as well pretty much like last year? Thank you.
Felix Grawert: Yes. I think on the top line for the OLED, as we mentioned last year for the follow-on order, we expect that to be somewhere on the order of a few tens of millions year, yes? And depending on when exactly timing the order comes to recognize a fraction of that in revenue. As for the R&D expenses, we expect to stay roughly flat year – year-over-year on the OLED side and then the overall EBIT impact to be a resulting number out of those two effects.
Uwe Schupp: Very clear. Thank you.
Operator: And the next question comes from Janardan Menon, Liberum Capital. Please go ahead with your question.
Janardan Menon: Hi, good afternoon. Thanks for taking my question. Just a couple of follow-ups on some of the previous questions. One is on the OLED, would you – to get – to recognize a few tens of millions, would you need the order to come through in the first half of the year? Or would you be able to do that even if it came say early third quarter or something like that?
Felix Grawert: Well, I mean the order intake is recorded when the order comes, right? So that doesn't depend on whether we can recognize it, right? It is clear. And I think the fraction of that to recognize a revenue that really depends then on the exact specifications that come along with that and what part – what conceptual work is to be donem what implementation is work to done. So that's not only a question as you were indicating of the timing topic but it's also a topic of the exact R&D scope and the scope of work that comes along with that.
Janardan Menon: Understood. And overall you said flat OpEx on the APEVA side, R&D on the APEVA side. Overall OpEx for 2020, how should we think about it?
Bernd Schulte: I think 15, 16, 17 something around that the level number.
Janardan Menon: As R&D – I mean OpEx...
Felix Grawert: OpEx.
Janardan Menon: To sales yes? Sorry yes. Sorry can you just explain that? 15, 16?
Felix Grawert: Yes. 15, 16 R&D, which is the majority – the vast majority of OpEx.
Janardan Menon: Okay. And your commentary is sounding increasingly positive on both GaN and on microLED. So what – I mean, how would you see the trajectory of those two businesses, specifically going through over the next two years? Is it a possibility that at the current rate of development both of these, especially microLEDs could be quite a material part of your revenue in 2021? Or is it that it's still too early and these are still at early-stage development kind of things? And the same sort of on the GaN side, I mean is it – I mean we've been focusing quite a bit on the silicon carbide side of the business. But is it possible that GaN could be even bigger than silicon carbide say in the 2021 time frame?
Felix Grawert: Yes. So let me get started with the question on gallium nitride power, yes? Power and RF. So as mentioned in our introduction, we do see a very nice momentum for both the power segment in gallium nitride and the RF segment. RF driven by the 5G buildup, which apparently is just starting. There's much, much more to come and in the same rule for the power electronics. So, today, in these two segments combined, we are at a small percentage of our revenue. But throughout 2021 and 2022, we clearly expect a nice momentum in the double-digit fraction of our numbers. Yes? And you may have seen announcements of some players in the industry, be it STMicroelectronics be it Navitas, which are now really moving from the R&D stage into a product or productization stage. So the mass and volume ramp is ahead of us. And I think, it's very difficult to predict the exact strength and the exact timing, but we clearly see the tipping point from R&D to volume production stage.
Janardan Menon: Understood. Very clear. And on the microLED?
Bernd Schulte: Yes. Let me comment on microLED. So the situation has been moved on from -- formally there was a lot of work of customers done to show the feasibility -- the technical feasibility of microLED display. And you're seeing the results in shows like in CES in January. And where we see now the change is that, now the question is always towards more the feasibility of high-volume manufacturing. So that's the next level. And in order to prove the feasibility of high-volume manufacturing, you need not only one tool you need a few tools, just to show the repeatability, to show the system-to-system performance, et cetera. And that's -- so we will see orders and we're seeing orders for mini and microLED. And we distinctively say mini and microLED, because the tool can do both and there are applications for both. And we're seeing orders this year and revenue this year for both and increasing over the past, simply because the move from R&D now to feasibility of high-volume manufacturing.
Janardan Menon: Understood. Thank you very much.
Operator: And the next question comes from Malte Schaumann, Warburg Research. Please go ahead with your question.
Malte Schaumann: Good afternoon. Two questions. The first one is on OLED. Are you committed to take a decision later in the year, potentially maybe in the third quarter or a bit later in case your customer decides to further postpone a decision?
Felix Grawert: Yes.
Malte Schaumann: Okay. And aside from that, any indication that provides -- comparing to maybe your take three months ago or four months ago, has anything changed from your side with respect to the potential success from the technical feasibility?
Felix Grawert: So I get your question, whether there's any changes on our side with the evaluation or the assessment of the technical targets. Is that what your question was?
Malte Schaumann: Right, right. Yes, right. Right.
Felix Grawert: No. There is no change on that one. So as I mentioned before in the introduction, we see very strong interest from the customer due to the value proposition of our product. And now it's about to sort out all the topics coming along with developing such a new technology, which is both fine-tuning the process, the profit windows, but also doing tweaks here and there on the tool to really get it to the maturity level that has been established as a benchmark by the incumbent VTE technology.
Malte Schaumann: Okay. And then, on the competitive situation, do you expect kind of a more difficult competitive situation as one of your competitors launched new arsenide sulfide platform going forward?
Bernd Schulte: Well, I mean, it has to be seen. So far, we have not really faced a direct competition. It is to be seen. As I said so far, the situation remains that we have a very, very strong position in the market.
Malte Schaumann: Okay. Thanks.
Operator: [Operator Instructions] And with that I hand the floor to Jürgen Wagner, MainFirst Bank. Please go ahead with your question.
Jürgen Wagner: Yeah. Thank you. A follow-up to the previous OLED question. How should we look at the procedure? So maybe asking another way, if there is a break or if you would then decides to do this, you have to break your OLED operations, what would happen to your strategy?
Felix Grawert: I'm not sure that I fully understand your question. Could you rephrase it?
Jürgen Wagner: Yes. What would happen to your OLED operations in case you decide -- in the previous question, you said, yes, we will do a make-or-break decision on OLED at some point this year. And what would happen to your OLED operations? And would that change the overall strategy for AIXTRON, if you decide not to continue those operations?
Felix Grawert: Well, first of all, let me mention that we are confident to get this thing up and running, right? Not to give the wrong connotation just because there has now been two questions asking what -- about the what-if question. And we are also currently, as mentioned before, confident about the high customer interest. It's now about getting things up and running. And, I mean, if for some reasons, yes, it's so to say a hypothetical question at this point in time, things don't work out as planned, then I think at the moment of decision it remains to be seen what exactly is the situation, what exactly are the reasons and then to take the best course of action in the interest of our shareholders. And I think we can't say more what exactly that is.
Bernd Schulte: And coming back to your related question to our strategy. This is exactly our strategy, which we have started in 2017 that we're looking in our product portfolio and looking what is the path and the duration to getting our product portfolio to market and to return of investment. And whatever we decide with OLED will fit to exactly this strategy.
Jürgen Wagner: And from a timing, like second half potential. So what is?
Felix Grawert: I think that really depends on the technical progress. I wouldn't want now to point towards the second half if the project is running and we continue to make progress. I wouldn't want to give any timing around that.
Jürgen Wagner: Okay. And the potential order could be first half or second half as well right?
Felix Grawert: Exactly.
Jürgen Wagner: Okay, okay. Thank you.
Operator: And the next question comes from Harald Schnitzer, DZ Bank. Please go ahead with your question.
Harald Schnitzer: Yes, good afternoon. The share of your service revenue seems to be improvable. Do you see any starting point for increasing this share? And I'm wondering because this share is even lower than in 2017. Is 2019 revenue the lowest threshold? And how do you see these service revenues? Is it recurring revenue for you?
Felix Grawert: Okay. So let me first comment on your question about improvable or not and then let's comment on the ratio, yeah? So we do have a very high share of consumable parts and of after-sales business with our current product portfolio. While on some of the legacy parts or legacy tools that have been shipped in the earlier years we have seen that customers have decommissioned those tools and taken them out of operation, yeah? But we do see that on our current product, we have a very nice share. And, therefore, we expect the ratio and the total number over the years to be once again increasing and we do see that trend. In 2017, it was €42 million; in 2018, €47 million; in 2019, €52 million. So if you look at the absolute number, those numbers are increasing, yeah? And we continue -- that absolute increase to be continued.
Charles Russell: And in fact the ratio is also increasing. In 2018, we had 17.5% and in 2019 we had 20% of our revenue from spares and service.
Harald Schnitzer: Okay. But I mean details on the service revenues and the share has declined.
Charles Russell: It's 20% this year and it was 18%, 17.5% the year before. So I think it's increased.
Harald Schnitzer: Well, the service revenue is -- in your report, it's about €3.9 million. In 2018, it was €4.3 million, and in 2017 it was €4 million.
Charles Russell: Okay. We're talking about different things. So I'm talking about spares and service and you're talking about service. Service revenue depends on typically customers asking us to relocate machines for example. And that depends on whether they've changed the configuration of their fabs. And so that fluctuates up and down according to what the customers' demand is. But actually in terms of spares and service, we've increased our percentage year-on-year.
Felix Grawert: Exactly. And the answer I gave you was relating to our complete as we call it after-sales business, which includes consumables, spare parts and service as a total. So it all fits together again, yes?
Harald Schnitzer: Okay. Thank you.
Operator: And the next question comes from Uwe Schupp, Deutsche Bank. Please go ahead with your question.
Uwe Schupp: Yes, thank you. Thanks again. Two questions please. First for Bernd on the VCSEL side and second for Felix on the -- an OLED follow-up. Bernd, what are you seeing on the VCSEL side of things these days? There are a few announcements of maybe smaller volume phones coming in the later part of the year with backside time-of-flight laser. And I was just wondering where do you see utilization levels of your major customers currently? And at which level this might be triggering orders again? And then secondly Felix, I guess the reason you're getting so many questions on OLED, obviously, is A, the situation seems to become a never ending story; and B, also I guess we noted that your long time Head of OLED has left the company somewhat surprisingly at the end of last year. What if anything should we read into that assuming that you are getting your order from your lead customer later in the year? The timing of that departure seems to be somewhat odd. But basically just to summarize your earlier comments, you are as confident as ever that the situation will be leading to a successful finish. Is that correct? Thank you.
Bernd Schulte: Yeah. Well, let me comment on your questions for VCSEL. That was in the moment we're seeing that most of the digital tools are getting a good utilization rate. And there are some discussions. I'm not saying that we are at the point where we're really negotiating contracts, but we're starting to have discussions with customers asking about -- potentially about what would be lead times et cetera. So this is -- this makes me more positive that some return for VCSEL business might happen in the course of the year.
Felix Grawert: And let me come to your second question about the OLED. Actually the change in the leadership team was an implementation of our long-term strategy. Our strategy is that our APEVA business will gradually over time become a change from a pure Germany-driven business given that the customers are in Korea into a Korean company or Korean-German company. And, therefore, we have one a very strong leader for our APEVA Korea, which is the mother company of our German operation. His name is Bioh Kim. He joined us from Applied Materials. So, he's a Korean guy. Spent over a decade in the U.S. last part of the decade at Applied, very long experience in the equipment and display industry. And we have given now the leadership of the APEVA Company -- Group of Companies, APEVA Korea, APEVA Germany in his hands. And it was just a natural consequence that now given that the leader of the group of companies is located in Korea in the Germany, we do not have a leader anymore so to say of that caliber. And that's part of our strategy to gradually build up also more headcount in Korea and become closer to the customer both in geographic locations, as well as in culture and language.
Uwe Schupp: Excellent. Thank you very much. 
Operator: And the next question comes from David O'Connor, Exane BNP Paribas. Please go ahead with your question
David O'Connor: Great. Thanks for taking my question. Maybe just a quick one on my side about new products coming in 2020. Bernd, can you give us an idea of where you're kind of investing? And what kind of new products we can expect if any in 2020? Thank you. 
Bernd Schulte: Yes. David, thank you for the question. As we mentioned in our presentations we're basically working basically on the entire suite of products to get removed in the core say from mid of 2019 to mid of 2021. So within these 24 months, we are planning to renew our entire MOCVD suite of products. That includes a new platform for gallium nitride-based high-quality deposition, which is fully automated which in the first place targets and the gallium nitride power market but also the gallium nitride-based microLED markets; a new platform based for gallium arsenide layers for laser applications as well in the second step for -- also for microLED applications. But we're working on a new tool for higher volume maybe slightly lower performance red LEDs. And we work -- we're just launching new version of our R&D platform based on our Showerhead technology. And I think we mentioned earlier in the call our silicon carbide platform which is already came out end of last year. So basically when you look in our markets and applications within -- from now say within the next 18 months we're going to renew the entire portfolio.
David O'Connor: That’s it. So thank you. 
Operator: And the last question comes from Guenther Hollfelder from RobecoSAM. Please go ahead with your question
Guenther Hollfelder: Yeah. Thank you. We see some gallium nitride on Sapphire Power products in devices out there. So I was wondering do you think this technology can accelerate the penetration of gallium nitride be a large potential market for you?
Felix Grawert: Excellent question. Yes, very much I believe so. So gallium nitride as a material for power electronics have two distinct properties. The one property is that it has very low switching losses, which you can use either for driving more efficiency, especially, in the IT infrastructure to reduce energy consumption in data centers; or to go to very, very fast switching frequencies to make very complex fast chargers for mobile devices for example, yes? The other big property of gallium nitride as a material is that you can make lateral that's a lateral device possible so you can put several switches next to each other on one chip yes? And that allows for gallium nitride to do integrated power circuits as we are used from like the integrated circuits in the silicon industry for the last 40 years meaning you can put several transistors or several switches next to each other on one chip like the IC integrated circuit. The challenge you have with power electronics is that you need to isolate these switches because you work at 600 volts not like an Intel processor at one volt but at 600. And you have to make sure that the voltage from one chip doesn't go -- from one switch doesn't go into the other switch. And if you use sapphire as a substrate you have perfect isolation yes? And therefore yes, that can really help and we are very happy that now customers start exploring on the second key value proposition of gallium nitride as a material. And I personally believe that we will see two groups of products coming out of that. The one is integrated switches be it half switches, be it switches with a driver or alternatively with topics like motor drive where in a motor drive controller you need six switches each with a driver and out of gallium nitride you can do that all in one single die or one single switch rather than six switches. So a bit of a technical explanation. In short yes we believe that can very much accelerate the market demand for our tools in the gallium nitride domain.
Guenther Hollfelder: And do you see more than one customer working on this technology at the moment? Or...
Felix Grawert: So this is topic this is a trend which is currently just starting. And yes we do several customers exploring the opportunities in that space.
Guenther Hollfelder: Okay. Great. Many thanks.
Bernd Schulte: Thank you all. With this I would like to conclude today's call. Thanks all of you for attending and listening. I assume to see some of you soon. We're also happy to do follow-up calls as you know. Please note that our next earnings call will be on April 30, 2020 for our Q1 2020 quarterly results. Thank you and bye-bye.